Operator: Good morning and welcome to the Pool Corporation 2Q '15 Results Conference Call. All participants will be in listen-only mode [Operator Instructions]. After today’s presentation, there will an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mark Joslin, Senior Vice President and CFO. Please go ahead.
Mark Joslin: Thank you, Kate. Good morning, everyone, and welcome to our second quarter earnings call. I’d like to remind our listeners that our discussions, comments and responses to questions today may include forward-looking statements, including management’s outlook for 2015 and future periods. Actual results may differ materially from those discussed today. Information regarding the factors and variables that could cause actual results to differ materially from projected results is discussed in our 10-K. Now, I’ll turn the call over to President and CEO Manuel Perez De La Mesa. Manuel?
Manuel Perez De La Mesa: Thank you, Mark, and good morning to everyone on the call. We successfully managed through the challenge of adverse weather conditions in many large markets to realize 17% EPS growth year-to-date and 11% EPS growth in the quarter on a constant currency basis, factoring in a $0.03 EPS difference for the stronger U.S. dollar. Looking at sales, our domestic blue business sales were up 5.6% year-to-date, including an increase of just 2.5% in the quarter. Part of the lower second quarter sales growth was related to the acceleration of early byshipments into the first quarter but a bigger impact was from record rainfall caused by delayed remodeling replacements and new construction activity in the South Central part of the country including Texas and adjacent states as well as delayed pool openings in the Midwest and Northeast markets. For those that ask about the drought in California our blue business sales were up 6.3% year-to-date in California as we work to educate the market on the net water efficiency of pools especially as related to their economic contribution relative to most other alternatives. On the other hand, our blue business sales in Texas were down 0.6% as record rainfall and saturated ground reduced our customer’s effective work days. Building materials again led the way with 11.9% sales growth year-to-date and 9.4% in the quarter despite Texas and adjacent markets being down. We continue to gain share with building materials as well as expand the market working in conjunction with our customers and suppliers. Equipment sales increased 8.1% year-to-date and 4.9% in the quarter reflecting both the gradual recovery of replacement activity and an improved mix with higher priced more energy efficient products. Commercial product sales were up 8.8% year-to-date and 5.6% in the quarter as we continue to capture share in this product category. Retail product sales increased 3.1% year-to-date and were down 0.1% in the quarter reflecting our acceleration of early byshipments in the first quarter, the adverse impact of delayed pool openings in Midwest Northeast markets and recent year’s negligible growth of the pool install base. Especially noteworthy within retail is that in chemicals by far the largest product category sold in the retail channels our sales were up 5% year-to-date which is in sharp contrast to the industry decline as we together with our customers continue to gain market share. Our chemical sales were up 3% in the quarter despite the delayed pool openings in northern markets. Staying within the blue business, our international sales in local currencies were up 8.2% year-to-date and 6.3% in the quarter although in U.S. dollars they were down 9.4% year-to-date and down 10.8% in the quarter. While exchange also helped to mitigate the adverse exchange impact the net impact was $0.03 in EPS in both the quarter and year-to-date. Turning to our green business. Our sales were down 3% year-to-date and 7.4% in the quarter. Here the results are due to our elimination of certain unprofitable equipment lines and the retro green fall in Texas pushing out new installations. Our gross margins were essentially flat versus prior year as expected. Expenses were lower than last year in both the quarter and year-to-date primarily due to the stronger U.S. dollar and lower performance based compensation. Otherwise, expenses are being responsibly managed in the normal course. Our base business operating margins increased by 80 bps to 11.3% year-to-date and by 84 bps to 15.3% in the quarter. Given the limited sales leverage this year, this improvement demonstrates how we are managing the business. In the second half we expect to see sales growth more like the year-to-date results on a constant currency basis. Together with comparable gross margins and disciplined expense controls, we should have another year of solid operating profit and EPS growth. Factoring everything in we decided to tighten our annual EPS guidance to 272 to 282 per diluted share. Our results and our success are founded on the commitment of our people it is their dedication, their engagement and their use of the tools and resources uniquely available to them that enable us to provide exceptional value. In a year where the industry is not growing year-to-date we are, in a year where our sales growth is below expectations our earnings meet expectations on a constant currency basis. Our people are the ones making it happen. Now I’ll turn the call over to Mark for his financial commentary.
Mark Joslin: Thank you, Manny. I am going to start my commentary today with a bit of a color on the weather in Q2 adding to the commentary in our press release and what you just heard from Manny and focusing on the major weather events and how we think it impacted our results in the U.S. markets in the second quarter. I did this with the understanding that as we said frequently over time and as highlighted in our SEC filings weather is the most important external factor impacting our business in a given year. While we don't use weather as an excuse it was more impactful than usual this quarter as a number of large U.S. market areas were impacted by weather and/or cooler conditions in contrast to the normal ups and downs that we more often see. The biggest impact to us in the quarter was the record rainfall that took place in Texas and adjacent markets and then moved up north into the Ohio valley and in the northeast with much of this area receiving either record or well above average rainfall. On top of that in the north central and northeast regions temperatures were cooler than normal in our peak June selling month. So how did this weather impact our business? Excessive rain directly impact the renovation and construction businesses in these markets on both the blue and as it relates to Texas the green side of the business as adverse weather kept crews indoors while saturated ground further delayed work even when it wasn’t raining. The good news is that we expect much of this work to be deferred rather than canceled which should benefit us in future periods. While that’s significant but still impactful the north central and north eastern markets experienced cooler June temperatures in addition to the higher precipitation. This impacted the retail and service sectors in these markets driving lower retail store traffic and less maintenance and impulse purchases. Given the seasonality in these markets, we do not expect to recoup this lost opportunity. We expect the total impact in our sales due to the rain and cooler conditions in these markets to event approximately 16 million or 2% of prior year Q2 sales. Outside these markets we experienced more than normal weather ups and downs with both positive and negative conditions impacting regional areas. I’ll take a few minutes now to discuss the impact of currency changes on our results, which is largely in line with our expectations as we’ve discussed on our last conference call. After the run up in the value of the U.S. dollar relative to most other currencies that began in second half of last year and continued into early 2015 the U.S. dollar has been relatively stable with about a 20% appreciation in dollar year over this time last year. The impact to our results this year has been lower sales, lower operating cost and lower operating income. The impacts on our sales results from the devaluation of local currencies was 21.1 million year-to-date including 15.6 million for the second quarter. The impact to our operating cost was lower than by 4 million year-to-date and 2.2 million for the quarter while operating income was negatively impacted 1.9 million year-to-date and 2.2 million for the quarter. Looking ahead to the rest of the year, and assuming U.S. dollar continues to trade in the same range relative to other currencies for the rest of the year, we’d expect the impact on our results to be similar in the third quarter to that in the second quarter while our seasonally slower fourth quarter we’d expect less of an impact to sales and potentially positive impact on earnings. Turning now to operating expenses. We have a positive story to tell here at this point of the year with total year-to-date operating expenses down 1% year-over-year and down 4% for the quarter. Obviously we benefited here from currency translation as I’ve already discussed as well as from lower performance based incentive given our year-to-date results and expectations for the year as reflected in our guidance range. This has resulted in a 2.3 million lower performance compensation expense year-to-date including 3 million lower expense in the second quarter. We expect further expense benefit here for the remainder of the year of about $2 million compared to last year, 1 million lower in each of the third and fourth quarters. Exchange and incentive comp were the big differences in our year-over-year operating cost. We had some other less significant ups and downs but of particular note our personnel and headcount were relatively flat year-over-year including the impact of acquisitions and new locations as these costs account for almost 60% of operating expenses this is a good indicator of discipline our field management has been using to control cost which should continue to benefit us as the year progresses. Moving on to the balance sheet and cash flow and starting with our total receivables of 319 million, these are up 12 million or almost 4% compared to last year. Even though our sales were relatively flat for the quarter we had an extra billing day in June this year compared to last offset by one less day in May but the June day resulted in increase in receivables at the end of the quarter. Looking at the quality of our receivables at the end of June compared to last year, our total accounts receivable greater than 30 days pass through this year improved to 1.4% of sales compared to 1.8% of sales as of June 2014 which was a nice improvement on already very good results. Our total inventory investment at quarter end was 473 million up 22 million or 5% over last year with similar improvements in the quality of inventory on hand. As reflected in the changes in our inventory by classification and our domestic blue business which accounted for 87% of our inventory on hand at quarter end and 100% of the inventory increase. Almost all of this increase 97% was in classes zero to four of our 13 inventory classes which are either new products or products with the higher sales velocity. I point this out to emphasize here that we believe our inventory is well managed with minimal risk of obsolescence and it will be appropriately adjusted to reflect expected demand over time. Looking at our cash flow and cash used for operations year-to-date is relatively in line with last year with the usual minor timing differences as we remain on track to reach our annual target of cash from operations exceeding net income for the year. Finally I’d like to update you on our share repurchase activity. For the quarter we purchased 809,000 shares of company stock in the open market at an average purchase price of $67.16 which used 54.3 million in cash. Year-to-date we’ve purchased 847,000 shares for a total of 56.9 million in cash. This gives us 108 million remaining on our current board authorization. At this point, I’ll turn the call back to our operator to begin our question-and-answer session.
Operator: We will now begin the question-and-answer session [Operator Instructions]. The first question comes from Matt Duncan of Stephens Inc. Please go ahead.
Matt Duncan: Thanks for the color and all the weather that really was beneficial, so I just wanted to start there and ask if those states affected have bounced back to more normalized levels or possibly higher in July as your customers try to catch up on those lost work days, what have you seen there?
Manuel Perez De La Mesa: They have come back in the sense that they are back to normal activity rates but they haven’t -- there has been no recovery per se because they stayed pretty busy during the course of the third quarter.
Matt Duncan: Then in those markets with more normal weather that either met or exceeded your expectations like you mentioned. Can you talk about which markets those were and how much more they’ve driven that 3% overall blue business growth that you saw?
Manuel Perez De La Mesa: When you look at the markets let’s take Florida up through the southeast they were largely unaffected, the West Coast was fine, California I mentioned that in my comments was solid on to the Pacific northwest. So, basically the adverse weather the real adverse weather was obviously Texas we saw a lot on the news back in May and June and tremendous levels of precipitation. And then going up through the central part of the country into Missouri, Kansas and then further East affecting markets like Indiana and then on to the northeast. So really but if you take the slot let’s say from Maryland, South was fine and West the Texas was basically fine as well.
Matt Duncan: And then just about how would characterize on average how much more those grew than that overall 3% growth rate you saw in the blue…
Manuel Perez De La Mesa: Those states overall we're looking at year-to-date numbers average would be close to 7%.
Operator: The next question comes from David Mann of Johnson Rice. Please go ahead.
David Mann: Given some of the issues that you’re seeing in these weather affected markets, are you seeing signs of increased commercial activity or irrational place from any of your competitors?
Manuel Perez De La Mesa: Great question David, we have not seen that yet, that would be something we probably be more likely to happen as we exit the season. Although these are year around markets so the risk there is less than if it were a more seasonal market.
David Mann: So the expectations for gross margin that you’ve laid out previously sort of I guess for flattish kind of gross margin this year still relatively intact?
Manuel Perez De La Mesa: Yes.
David Mann: Okay, and then in terms of the base business growth expectations, should we pencil in for the second half sort of the run rate that you’re seeing in those markets that weren’t affected by weather sort of that 6% to 7%?
Manuel Perez De La Mesa: You’re going to adjust, first of all adjust 2% for currency.
David Mann: Correct, yes.
Manuel Perez De La Mesa: And so I would be more inclined to look at it based on what our year-to-date trends are.
Operator: The next question comes from Anthony Lebiedzinski of Sidoti & Company. Please go ahead.
Anthony Lebiedzinski: So, Manny you mentioned the California year-to-date number 6.3% increase. I missed what the increase was for the quarter, can you repeat that please?
Manuel Perez De La Mesa: Sure, let me just go through my notes a second here. For the quarter, I did not say, they were -- but I have the notes here. They were up more modestly in the quarter they were up to a very strong start in the first quarter and had a little bit of cooler weather in the April-May time period so they were down -- California was just modestly up in the quarter.
Anthony Lebiedzinski: Modestly up, okay.
Manuel Perez De La Mesa: Modestly up in the quarter and that was, they got off to a strong start and then we hit with a little cool weather but year-to-date still solid and in fact typically we get a lot of questions from investors about the drought and certainly that's taking up some of our management time in the west as well as here in Covington working to educate the local water boards. And so far we’ve been pretty effective in just educating them on the fact that pools are relatively efficient and when you factor in the economic activity to provided by the pool industry it dwarfs most industries including technology or agriculture. So, you’re going to from an economic development standpoint the last thing you want to do is tamper with water efficient industries.
Anthony Lebiedzinski: Okay, that’s helpful color. And with that in mind, can you give us an update as what your outlook is for overall pool construction for 2015?
Manuel Perez De La Mesa: Pool construction right now is profits are up modestly year-on-year I mean if I look at markets like California is up, Florida is up and Texas is also up in terms of permits. Now in terms of the actual pools getting finished, California Florida are fine but Texas obviously is really backed up. So when I look at the three big states overall I would say that they should be flat to modestly up year-on-year. In terms of the rest of the country, I would say flat to modestly up year-on-year. So whereas last year we’ve finished the year the industry with just about 60,000 pools built and for the point of reference that’s down over 70% from where it was 10 years ago. This year probably will be modestly up overall but not much more maybe a couple 1,000 up year-on-year.
Anthony Lebiedzinski: And also within your green segment you mentioned that you eliminated certain equipment lines. Can you just give us a little bit more color on that and where these lower margin products or kind of in line with the rest of company average for that segment?
Manuel Perez De La Mesa: From a gross margins standpoint, they were not too different from our normal business. But the resources required both in terms of personnel as well as facilities really and when you look at the inventory investment there was we were really realizing negligible to no return on investment. So, these are sectors that are not what I’ll call core irrigation these were in adjacent markets primarily related to golf courses and higher bigger turf equipment. So therefore the thought process was what let’s just prune back and focus on our core where we can get a higher return on invested capital.
Anthony Lebiedzinski: And last question, so far year-to-date you have added three sales centers just wondering what is your expectation for the balance of the year and any early read on 2016 would be helpful?
Manuel Perez De La Mesa: Okay, in terms of -- there is a couple of sales centers that we were looking to have opened earlier in the year but unfortunately we’ve encountered various permit delays on the part of local authorities. So we have not been able to get those open in fact just three of those that kind of like our delayed anywhere from three to six months from the targeted open date. So, hopefully those will get open later this year although they’re not going to help us at all in the year we’ll certainly get them opened and be ready for the ’16 season. Beyond that, we’ll go through that process really in the next two months or so and lay out what we’re going to be opening for the ’16 season. But over and above those three locations I would expect another handful but that's still to be defined but a handful is a planning number at this juncture.
Operator: The next question is from David Mandell of William Blair. Please go ahead.
David Mandell: Regarding SG&A, outside of normal volume driven expenses, are there any other reasons why SG&A would step up substantially in the second half?
Manuel Perez De La Mesa: No. You would expect the SG&A to be basically flattish on a dollar basis, it would be up a little bit in constant currency. But on a U.S. dollar basis, it would be about flat.
Operator: [Operator Instructions] Our next question comes from Mark Zikeli of Longbow Research. Please go ahead.
Mark Zikeli: This is Mark on for Derek today. You mentioned delayed pool openings in Midwest and Northeast in the quarter. What’s the impact of margins there and how should we think about that in the second half of the year?
Manuel Perez De La Mesa: The impact on gross margins is negligible from percentage standpoint because there is nothing unique to stand out. What does happen though is because of delayed openings some of the typical maintenance type expenses whether it’d be chemicals or accessories, whatever, those are impacted, so those are lost. And in fact I am still getting information about in certain markets people are still opening pools as recently as this week which is about in some cases two months later than normal. So that’s just gives you an indication of some of the delays that have transpired now that’s at the outside end of the spectrum but still it’s a lost sale because the pools are open less time and therefore there is less consumables.
Mark Zikeli: Did you guys say what the headwind was from the 1Q inventory stocking and how does that unfold in the second half of the year?
Manuel Perez De La Mesa: There was no headwind on…
Mark Joslin: Are you talking about the early buy pull forward…
Mark Zikeli: Yes, early buy.
Mark Joslin: The fact that we shipped early buys earlier that impacted about 1% of our sales from the second quarter it was a bigger impact because the sales are bigger in the second quarter versus first quarter but basically it was about 1% impact on our second quarter reported sales.
Mark Zikeli: And no impact for the rest of the year obviously.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Manuel Perez De La Mesa for any closing remarks.
Manuel Perez De La Mesa: Thank you all for listening. Our next earnings call is scheduled for Thursday, October 22nd when we’ll discuss our third quarter results. Have a great day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.